Liana Chue: Good morning, ladies and gentlemen, and a warm welcome to those joining us here in the auditorium as well as via the webcast. It's my pleasure to welcome you to SGX First Half FY 2026 Results Briefing. We will begin in a while with a presentation of the financial results by our CFO, Mr. Daniel Koh. And following that, our CEO, Mr. Loh Boon Chye, will present the business updates. We will conclude with a Q&A session with SGX senior management. [Operator Instructions] It's now my pleasure to invite our CFO up on stage to present the financial results. Dan, please?
Kok Yu Koh: Good morning, everyone. Thank you for joining us today. It is a pleasure to share with you SGX Group's strong set of results for first half FY '26. We delivered robust business growth and achieved our highest half year revenue and earnings. Net revenue, excluding treasury income, grew by 10% and adjusted earnings grew by 12%, continuing the strong momentum from the high base in FY '25. Total net revenue grew by 8%, while adjusted expenses were up 4%. We will go through the detail in later slides. Our equities-cash or SGX stock exchange revenue achieved a solid 16% growth powered by market optimism and elevated investor interest from the EMRG tailwinds. Our Currency and Commodity Derivatives segment demonstrated a strong growth trajectory led by iron ore's record half year volume. SGX FX net revenue increased by 8% with a record average daily value of USD 180 billion, driven by sustained client acquisition and increased platform adoption. Treasury income declined mainly due to the global rate environment and collateral currency mix. We remain confident in delivering the medium-term targets that we set out at the start of FY '25. SGX's multi-asset strategy with diversified revenue streams positions us well to deliver the 6% to 8% CAGR in top line organic growth, excluding treasury income. To sustain this momentum, we continue to reinvest for growth while maintaining cost discipline. There is no change to our guidance for expenses and CapEx. We are confident to maintain the sustainable and growing dividend commitment with the incremental $0.025 every quarter to the end of FY '28. The group's strong balance sheet also enables us to capitalize on business opportunities that will drive long-term growth. Now let me walk you through the headline financials. Group net revenue increased by 7.6% to $695 million. Group expenses on an adjusted basis increased by 3.8%, while adjusted group NPAT increased by 11.6% to $357 million. Our margins also grew with adjusted operating profit margin and adjusted NPAT margin improving by 1.4 and 1.8 percentage points, respectively. As mentioned, SGX Group's robust performance this half year continued the momentum from an already strong FY '25. Other than a 10% year-on-year growth for net revenue ex TI, there was also an 8% growth half-on-half. This revenue was backed by sustained volume growth across each of our diversified multi-asset businesses, namely derivatives, including commodities, SGX Stock Exchange, and SGX FX. Our overall derivatives DAV grew 8% from a high base last year when the China's stimulus announcements drove record high volume on China A50 contracts. This growth built on the strong momentum in the second half of FY '25 when global volatility surged due to uncertain trade policies like from Liberation Day. This was underpinned by strong client demand for SGX derivative products and the increase in our global client reach. The SGX Stock Exchange SDAV saw a remarkable growth of 20% to $1.51 billion, the highest in 5 years. This was driven by the holistic measures by EMRG and SGX, alongside growing investor interest. The STI posted a 23% 1-year return, outperforming most ASEAN peers. The SDAV for small and mid-cap surged by over 2x outpacing the STI 30 and contributing nearly half of the overall SDAV growth. Additionally, ETFs and Singapore Depository Receipts or SDRs, contributed more than 10% to the overall SDAV growth. The SGX FX business continued to grow consistently since inception. Average daily value increased by 32% year-on-year, outpacing other peer exchanges benefiting from an enhanced platform and a broader client base. Let me now elaborate on the group's net revenue performance across our 4 operating segments. Our FICC revenue grew $20 million or 12% accounting for 26% of total revenue. The commodities franchise achieved record volumes across iron ore, [ dairy ] products and petrochemical contracts. Total volume grew 24% with iron ore leading the revenue growth, benefiting from a broader customer base and improved market sentiment from the China stimulus. I had touched on the strong volume growth of SGX FX earlier. We saw faster growth in lower-yielding swaps, which increased in demand in our clients' portfolios. The Equities-Cash segment revenue grew by $31 million or 16% and contributed 32% to our total revenue. This was mainly driven by the higher SDAV, as mentioned earlier, which increased trading and clearing revenue by the same magnitude. With the higher trading activities, we also saw more income from securities settlement. Equity derivatives revenue decreased by $10 million or 6% and accounts for 24% of total revenue. This was mainly due to lower treasury income. Notably, though, total equity derivatives volume remained comparable at 91 million contracts, even with a high base last year. Platform and other revenue increased by $8 million or 7%, primarily due to higher colocation sales and repricing of data and connectivity services. This segment has grown at a steady average rate of 2% over the past -- over the past 5 halfs and now accounts for 18% of total revenue. Moving on to expenses. We continue exercising cost discipline. The adjusted expenses increased by 3.8%. The impact of our planned investments in sales and product capabilities and platform modernization will skew towards the second half. Full year expense and CapEx guidance for FY '26 remain the same as previously communicated. Staff costs for the first half increased by $4 million or 2.6%, primarily due to higher headcount. Technology expenses, depreciation and amortization were largely comparable. Other expenses increased by $5 million, mainly due to more professional fees and prior FSDF grants received for the SGX FX business. Adjusted earnings reflect our underlying core performance by excluding noncash adjustments. First is a net fair value gain of $6 million, mainly related to the transaction where 7RIDGE fund entered into a binding agreement to sell trading technologies in July 2025. Second, we took a $15 million impairment due to the lower-than-expected performance from Scientific Beta. Lastly, we have an adjustment of $5 million mainly for the amortization of purchased intangible assets. Our balance sheet remains robust, and continues to provide us with a solid foundation to pursue future growth opportunities while continuing to deliver shareholder returns. Moody's reaffirmed our AA2 rating on September '25, the highest among exchanges rated by Moody's. Our leverage ratio is at a healthy level of 0.8x due to improved margins. The Board of Directors has declared an interim dividend of $0.11 per quarter -- $0.11 per share, consistent with the dividend growth trajectory previously announced. This brings the total dividend in the first half FY '26 to $0.2175 per share, marking a growth of more than 20% compared to the same period last year. We are confident in our ability to deliver sustainable and growing dividends with a steady increase of $0.025 every quarter to FY '28 as previously guided. With that, let me now hand over to Boon Chye, our CEO, who will deliver the business updates. Thank you.
Boon Chye Loh: Good morning, everyone, and thank you for joining us today. As Dan highlighted, we delivered strong results in first half FY '26 with broad-based growth across most business segments. This performance reflects disciplined execution of our multi-asset strategy anchored by a strong client-centric approach and driven by 3 strategic focus areas. First, scaling our FX business; second, expanding and strengthening our derivatives and commodities franchise; and third, accelerating growth in our stock market. With this multi-asset strategy firmly in place, we are confident in achieving our medium-term revenue growth of 6% to 8%, excluding treasury income. Let me now take you through each of our focus areas. Our SGX FX franchise, our OTC FX business has been expanding at pace, average daily volume has risen at a CAGR of 39% since we started 3 years ago, reaching a new high of USD 180 billion in first half FY '26. As market volatility persists, more participants are turning to our platforms to manage FX risks effectively. We expect this growth momentum to continue with increasing uplift to our bottom line. This supports our medium-term ambition for SGX FX to deliver a mid to high single-digit EBITDA contribution. To sustain this trajectory, we are sharpening our focus on product and platform innovation. We continue to strengthen our FX data and analytics offerings to meet evolving client needs, helping clients to improve transparency, execution quality, and risk management across the entire trading workflow. In parallel, we are enlarging our capabilities to support broader multi-asset trading, including new EM or emerging market products such as Latin America Non-Deliverable Forwards or NDFs. We are also enhancing workflows to better serve increasingly diverse client strategies. This growth is underpinned by the depth and diversity of our global client network with rising by site participation from global hedge funds and asset managers. Our client engagement has also received industry recognition with SGX FX name World's Best FX Exchange and World's Best Solution for FX NDFs by Euromoney. With these foundations in place, SGX FX is well positioned to remain a key growth driver for SGX Group. Turning to derivatives and commodities. Our overall franchise is gaining solid momentum even after an exceptional FY '25 driven by macro volatility, we achieved our highest half-yearly DDAV of 1.35 million contracts. International participation remained strong with T+1 volumes holding above 20% in first half FY '26. Our FX and rates derivatives delivered 18% DDAV growth year-on-year as more global participants rely on SGX for FX hedging. Beyond our flagship Indian rupee and renminbi contracts, our Korean won futures saw stronger trading activity amid heightened global volatility and a resilient Korean equity market, underscoring the value of our listed FX future shelves, which provides deep and liquid access across Asia's major currencies. Our commodity franchise recorded diversified growth across our key contracts led by iron ore. Alongside strong performance in our flagship iron ore and our freight contracts, volumes in dairy and petrochemical derivatives continue to grow as open interest reach new highs. Over the years, our rubber contracts have attracted rising participation from financial players who now account for over 60% of daily volumes supported by increasing interest from non-Asian investors. Reinforcing its role as the global pricing benchmark for natural rubber, our launch of T+1 night trading on 26th January this year has drawn promising early interest, particularly from participants seeking greater flexibility in round-the-clock risk management. In equity derivatives, our volumes remain resilient. Our China A50 futures registered a 2% year-on-year increase in volumes despite a high base from last year's record activity following China's similar announcement. This resilience affirms the A50's enduring leadership as the most liquid international futures for Chinese equities and continued investor demand for SGX Asia access platform. Building on this momentum we are advancing innovation across our derivative suite. As volumes in equities, FX and commodity derivatives grow, we are expanding our offering to meet changing investor needs and diversify our client base. In first half FY '26, we extended our multi-asset platform with more institutional grade tools such as the launch of the world's first regulated exchange crypto perpetual futures, bringing SGX trusted market infrastructure transparency, and robust modeling into one of the most actively traded digital assets instruments. In this evolving rich landscape, we expanded our offering with the launch of the new 20-year many Japanese government bond futures introduced at a pivotal moment as Japanese rate environment shifts. Together with our 10-year JGB and 3 month TONA Futures, this addition enables investors to express views and manage risk across the Japan rates curve with greater precision. Taken together, this development highlights the resilience of our multi-asset franchise and position us well to capture the opportunities ahead. Lastly, on the stock exchange business. Momentum has been robust and sustained with interest -- with increased vibrancy in the ecosystem. This reflects the longer-term strategy our equities team has been executing, one that is not just dependent on market cycles, but on building a structurally stronger market over time. Through the first half of FY '26, market participation deepened meaningfully. Average daily turnover rose 20% year-on-year to SGD 1.51 billion, the highest level since early 2021. Retail participation in cash equities rose to a 4-year high as investors increasingly pursue differentiated opportunities across STI constituents and small and mid-cap companies. Liquidity has increased in tandem with this heightened investor interest. The STI continues to serve as a key anchor supported by steady domestic and international flows. At the same time, trading activity has broadened across sectors driving higher turnover beyond the STI and contributing to a more balanced liquidity profile across the market. Notably, interest in mid-cap and growth-oriented companies rose significantly with institutional investors recording net purchases of SGD 450 million in small and mid-cap stocks over the year. This was partly boosted by last September's launch of the iEdge Singapore Next 50 Index, which tracks the next 50 largest companies beyond the STI constituents. Liquidity also benefited from higher IPO activity in first half FY '26, SGX Stock Exchange led Southeast Asia in terms of IPO funds raised with nearly SGD 3 billion raised. Looking ahead, our IPO pipeline continues to strengthen with a healthier outlook compared to 6 months ago. Beyond liquidity, we are enhancing market connectivity and building partnerships globally. Two major initiatives were announced in late 2025. First, with the U.S. Together with NASDAQ, we announced the Global Listing Board, GLB, designed to allow eligible high-growth companies to tap both Asian and U.S. investor bases through a streamlined dual listing framework. As we prepare to launch the GLB later this year, we're seeing more new economy companies engaged with us earlier, encouraged by the possibilities that GLB can unlock. This is widening the funnel and gradually reshaping the profile of companies looking to list here. Second, with China. The Monetary Authority of Singapore and the China Securities Regulatory Commission has expressed support for Chinese corporates or Asian companies to secondary list in Singapore. There is now a clear fundraising pathway for eligible Shanghai and Shenzhen listed companies to raise capital on SGX while maintaining their A share obligations. We look forward to welcoming new listings under these 2 initiatives in 2026, and are progressing on the supporting frameworks. Beyond cash equities, while widening the avenues for investors to express their views on Asia's team through a wider range of products such as ETFs and SDRs. ETF activity remained robust, supported by new launches and steady inflows with assets under management reaching SGD 18 billion at the end of 2025, drawn by rising investor interest and steady performance in the Singapore stock market, STI ETFs saw AUM rising to SGD 3.7 billion. We also extended regional and thematic exposures through SDRs, covering Hong Kong, Thailand and most recently, Indonesia, giving investors convenient and cost-efficient access to these markets. Alongside product expansion, we're also strengthening our market structure. SGX RegCo is consulting on proposals to reduce [ port lot ] sizes for higher-priced stocks and to modernize our post-trade framework through broader adoption of broker custody accounts, both aimed at enhancing accessibility, participation and market efficiency. Collectively, these developments point to a clear trajectory, a broader and more active investor base, deeper liquidity across market segments and stronger cross-border linkages enhancing Singapore's position as a leading marketplace in the international arena. First half FY '26 demonstrated the strength and resilience of our multi-asset strategy in FX, derivatives and our stock market. They underpin our confidence in delivering our medium-term revenue CAGR growth target of 6% to 8%, excluding treasury income, through disciplined execution and a clear focus on what matters. First, by deepening engagement with new and existing clients, across all our businesses; second, by delivering product innovation and next-generation market infrastructure; and third, driving a vibrant stock market ecosystem with our continued initiatives and momentum. Thank you. My colleagues and I will now take questions.
Boon Chye Loh: Can we have the first question? Yes. I think I saw your hand up first Nick, and then we can have Harsh, and then we'll take a question online after that.
Nicholas Lord: A couple of questions for me. The first is just on your comments on the GLB. And you spoke about new companies looking at the GLB. I presume there's also companies that are already listed on NASDAQ but may look at the GLB. So I just wonder if you could comment a little bit more about what type of companies you expect to list and sort of the source of those companies? And how big this GLB could be in terms of sort of number of listings on a sort of 12- to 18-month view? And then I have a secondary question, which is a little bit detailed on the numbers. But in your cash flow, there's about a $420 million gain on the sale of a FVPL or something like that. Could you just tell us what that is? I think it's a distribution. Could you just tell us what that is because it's quite a big cash inflow for you.
Boon Chye Loh: Yes. Dan, you can take the second question. On your first question, the partnership with NASDAQ and GLB has clearly drawn companies to have earlier conversations with both SGX and NASDAQ. We hope to get the GLB up and running by the middle of this year. The companies that we're seeing now and on the pipeline are the high-growth new economy companies. And that's what the GLB is created to serve companies with the Asian high-growth being able to tap the Asian and global investor base. You asked for the 12- to 18-month outlook. This is being set up by the middle of this year. We hope to have some company's IPO on the GLB by calendar year 2026. Discussions, as I said, are earlier, companies are talking to us. Can't quite give you that 12- to 18-month forecast, but we're seeing the pipeline being built up.
Kok Yu Koh: Thank you, Nick. The second part of your question, we had invested into a closed-end fund a few years ago and the fund is called 7RIDGE. The asset in that was trading technologies, that was sold. The transaction closed in November 2025. So that -- those numbers you see were the proceeds from that divestment of 7RIDGE.
Nicholas Lord: And so your net cash is now quite high. Have you any plans as to what to do with that?
Kok Yu Koh: Yes. So we will -- we are looking at reducing some of the debt, the bonds that we have as they come due for maturity -- that we have 2 bonds that are coming in the next 12 months that we are looking at reducing some of that. Yes.
Harsh Modi: A couple of questions. One very big picture, Boon Chye. A lot of initiatives on equity market in Singapore. If I look at the equity allocation of Singapore households, it's quite limited. Is there any numerical target or any number, let's say, in a 5- or 10-year period, that as you work with different parts of Singapore to get that number higher directionally and to reach a particular level? And how do we think about that possibility?
Boon Chye Loh: First, I think the broader participation across the number of companies beyond just the STI constituents is very encouraging. Secondly, the retail participation, as I mentioned, has reached a 4-year high. All segments of investors, including retail households are clearly important. And there are a couple initiatives going forward. You asked about target, but I think it's important to build the foundation. The value unlock program, working with the companies is one expect of that, being able to articulate growth, capital allocation, business strategy. And then in the investment part of the equation, there's going to be, first, a move towards or encouraging retail, or CDP direct account holders to move towards the broker custody model that can create multi-market efficiency. And along with that, CDP direct accounts remain available. And then third, we are doing a lot more in terms of investor education. Then the EQDP program, some of which has been launched has also been able to crowd in the money. So we're hopeful that everybody in the ecosystem playing a part and the momentum that the EMRG has created through the various initiatives and through a more resilient economy, stronger Sing dollar, we hope for a sustained momentum. But all segments of investors are important, including retail. And that's clearly something that we've been working on, but I think this momentum creates the possibility.
Harsh Modi: Right. But it's not expressly a target or number they're trying to solve for in terms of participation. It is increasing and all of these suggest there's a lot of effort. Probably, we'll talk about in a year or two.
Boon Chye Loh: We obviously have our working plan. We don't know where the pools of capital are.
Harsh Modi: Yes. No, thanks for that. Other one is, on some of the initiatives, we talked about GLB, the other one is, which has talked about a lot in exchanges world, and I'm sure you guys have looked at it, it's a prediction market. There's a lot of different kind of contracts on prediction market, some are frivolous, some are serious. As you would have looked through it over last few quarters and years, what kind of role do you think prediction market can play at SGX, if any? And how do we think about that?
Boon Chye Loh: Thank you for the question. This space is evolving. And I think the adoption of events markets in each jurisdiction will be different, has to have clear regulation, obviously, demand ecosystem led. As a market and looking at what SGX offers, particularly in the commodity space, freight, having some risk management tools around outcomes such as C-level, number of possible disruptions is clearly something that I think participants may not want to buy insurance for but are keen to look for some risk management tools. And also given the momentum in our stock market, if we're able to create greater visibility interest around financial metrics of a listed company, I think those are clear possible opportunities to evaluate. Like I said, this has to be with clear regulation demand led and with proper guardrails. Maybe a question from online participant.
Liana Chue: Yes, Boon Chye. A couple of questions, but I'll take Jayden from Macquarie's question first. And on treasury income, the same question from Glenn from Phillip. I'll just combine it. Any more compression expected in the treasury income? And then is there a lag on compression? And are you shifting the duration of your collateral portfolio to lock-in use? So that's question number one. Question number two is on Scientific Beta. Why the decision was taken to impair the amount of $15 million on Scientific Beta? And lastly, is there more dividends to come?
Boon Chye Loh: So I may forget the second and third. So I'll ask you. Okay. On the first question, the -- first, I would say, collateral balances increased. And there's a function of more open interest with SGX on our platform. Yes, the treasury income did decline, but that's, as you said, a combination of interest rates, but also a combination of the currency mix. And being an exchange that provide access across Asia, we can expect different currency mix. There's obviously, right now, a lot of focus on where the U.S. interest rates will go, but we also saw Australia hiking interest rates. We could also be in a different rate regime in Japan. So what is important is we continue to have very prudent risk management, looking at various instruments and look at duration to enhance the treasury income. And as said, I forgot the second question.
Liana Chue: Second question is on Scientific Beta, the impairment charge?
Boon Chye Loh: Given the ongoing dynamic and investors focus between or more on market cap weighted indices versus various specialized indices has led to underperformance of Scientific Beta, thereby, we have taken the decision to impair goodwill. However, Scientific Beta provides acquisition and continues to be, provides and enhance our index capability, allows SGX as a group, including Scientific Beta to engage the asset owners who are clients of Scientific Beta deeper. And that has also allowed us to enhance our data platform collectively. Dividend.
Liana Chue: Yes.
Boon Chye Loh: That was certainly Jayden.
Liana Chue: Yes, correct.
Boon Chye Loh: We guided the 12 quarters, 3 years out with a [ $0.25 ] increase for our dividend. We're just 2 quarters into it. As Daniel and I have said, we are committed and confident of delivering what we've guided in terms of the dividend. And obviously, as we continue to grow our business, committed to a 6% to 8% CAGR revenue growth and its cash generation increase, we'll continue to invest organically. We may put on bolt-on acquisition that provides incremental value business proposition. And if there's excess capital, the board and management is very conscious of returning value to shareholders and also creating and making a sustainable and growing dividend over time.
Thilan Wickramasinghe: Thilan from Maybank. Just 2 questions. On the value unlock program, can you give us any update on how many companies that have signed up? And when can we start to see some announcements in terms of what some of those value unlock will be? That's my first question. Second question is on your clearing margin for cash equities this half. We did see an improvement of about 2% or so. Can you give us some indication of what's driving that? Is there a little bit more retail? Or has the mix changed?
Yao Loong Ng: So I'll take both questions. So I think the clearing fee, yes, so that 2% increase has been led by an improved participation rate of our full fee paying clients, which is largely institutional and retail, and they come from both segments. The value up -- so the program was officially launched middle of this month. And I would say the response has been quite encouraging. People who have stepped forth to say what are these programs and how can we be involved. So I would say there should be about roughly around 100 companies as of today. That's about 1/6 of the number of listed companies that we have. So I think that's fairly encouraging for 2 weeks. And Thilan, you would have written quite a few notes on this program. Many of the things that we will work with the ecosystem to assist the companies will be quite different. Some of them clearly would be around capital management issues. Some of them will be around the narrative. It could be great in generating returns, but perhaps the story wasn't that well communicated. So those are the things we have to work through. It will not just be done by SGX alone. We are a platform, but we are able to convene the ecosystem, whether it's the IR experts or whether it's the consultants or whether it's the corporate finance advisory firms, right? So as the ecosystem we come together, and of course, MES has provided that grants to help encourage the companies to say, look, this is the time to do it. And I think best of all, we have seen examples of companies in Singapore that have done value unlock of value up, and have seen the results in share price appreciation. So I think these are the best examples. And it's not just in the STI companies, but in the next year as well. So that sets an encouraging tone, the template for the next year of companies to say, look, there is something for us to do. There is some assistance. And we do know that the EQDP managers, for example, are looking at some of these companies. And if the right strategies, the right metrics and the thinking can be communicated, then they should be able to expect that some of these managers will have institutional capital or retail capital allocated to them can look at these companies.
Yong Hong Tan: This is Yong Hong from Citi. And maybe just one question on the DCI segment. So given the recent development and the Anthropic releases and based on your interaction with your clients, any recent opportunities you see for your DCI segment, maybe especially the Indices business. And relating to that, on your Scientific Beta, would that be further eased to your scientific business? And also, is the impairment done? These are my 2 questions.
Boon Chye Loh: On the DCI segment, we saw revenue increase in the connectivity space with higher colocation sales and repricing in October '24 and in the data part of it, as part of our securities trading market platform modernization, we're also undergoing a data lake modernization, which will create capability and functionalities for us to create data and indices that participants will find it useful. On your question on Scientific Beta. As I mentioned earlier, there are other values that SB bring to the group. The revenue contribution of SB to the group is limited. Even if we were to take further impairment, which is not the case at this point, as the management and the team continues to execute on the plan, even if we do that, it will not be -- it'll be modest given the very strong cash and balance sheet of the SGX Group.
Felicia Tan: I'm Felicia from The Edge Singapore. Earlier on you mentioned that the IPO pipeline continues to strengthen with a healthier outlook. So at the last results briefing, I think Pol gave a number. It says that you guys have 30 companies in the pipeline. So I was just wondering whether you'd be able to give a figure. And I think the last time you guys mentioned medium term. So do you all have any like more concrete timelines this time?
Boon Chye Loh: Yes. So when we mentioned the IPO pipeline at our full year results briefing, roughly now also in August, 6 months ago, say, we mentioned more than 30. Very pleased to say 18 out of 30 has now come to the market. As of now, for our full year calendar outlook, the number of companies on the pipeline is more than what we said before. And we have number of IPOs at this month. I think key is obviously companies, as we've mentioned in our pipeline, companies have engaged advisers working on IPO on SGX. And we hope market continue to be conducive, and we hope to outperform last year.
Pol de Win: So the number now is greater than 30, if you want the number. But what Boon Chye mentioned is important, right? We said that 6 months ago, 18 listings have happened since. By the way, it's greater than 30 and growing, right? So as all these deals are happening, we see new additions coming in at a greater pace, and that's encouraging. I think the other aspect to this is not just about numbers for us. The quality and the breadth of it is equally if not more important. We see that across main boards and catalysts nicely spread. And with the global listing board now, we have another very, very exciting tool in the toolbox to cast the net even wider. And to Nick's earlier question, I think what we are seeing based on the conversation that we're having around the GLB is that it's attracting companies that probably otherwise we might not have seen, consider Singapore as a listing destination. So that's exactly what we were hoping to achieve with it. And then equally in terms of -- Boon Chye mentioned is already around industries, right? So it's been pretty diverse. Technology is part of it. Health care is part of it. Consumer segment, digital infrastructure and of course, also real estate, which is 1 of our strengths. And I think all of this, by the way, we already saw reflected in the type of transactions that have started to come through in the last 6 to 8 months.
Boon Chye Loh: That's why Pol is the Head of Global Sales and Origination. You're hearing the word greater from him.
Felicia Tan: Sorry, I do have 1 follow-up question, and that will be the last one for me. I also was wondering whether you guys have any updates on the bolt-on acquisition front. I think, again, it's something that you mentioned 6 months ago and something that you mentioned just earlier. So I was just wondering whether you've identified any potential targets.
Boon Chye Loh: Well, we continue to execute on our organic plans. We'll invest organically. We're also obviously continuing to evaluate areas that can extend our breadth and our debt. And as previously mentioned, the freight industry is undergoing in our view, a digitalization journey. And coupled with our existing strength in freight and commodities, that's an area that we're continuing to try and find bolt-on targets that could complement our business strategy. There is no timeline to that because I think it's important to look at the value, to look at the fit and obviously, market timing.
Unknown Attendee: Just wanted to ask on the GLB. As of now in terms of the conversations that you've had with the companies who are interested, do you see more coming from U.S. trying to come into Singapore? Or is it the other way around where you're trying to bring companies onto the U.S. side?
Boon Chye Loh: It will be both ways from what we see right now on our pipeline. Our companies are broadly in this part of the world. But with businesses that could extend into Europe or U.S. So meaning, companies in this part of the world having a global footprint or having more of a regional footprint and clearly looking to tap the Asian and global investors.
Unknown Attendee: So just to follow on. I guess, it's more trying to understand. So do you see this more as issuers that are coming new to the market, there will be -- or are there already listed players who are looking to go over to U.S.?
Boon Chye Loh: So this will be for new IPOs, and new IPOs could include companies. They have not been listed. It could also include companies that are already in the U.S. looking to tap this GLB. Questions online?
Liana Chue: Yes. Boon Chye, this is from Shekhar of RHB. I'll broadly put into 2 buckets. One on equity derivatives, broadly stable volumes. What is the action plan to accelerate growth over the next 12 to 24 months? And on securities market, any pricing levels without impacting competitiveness?
Hsien-Min Syn: Very bullish on the need for risk management across the Asian capital structure. Very bullish on our portfolio mix because it doesn't even yet reflect the market weight of what exists. So if you look at our A50, the number looks very large. But when you normalize the notional, so the A50 notional is 15,000, the Taiwan notional is 100,000. When you normalize this, the upside is a lot. And there are 2 metrics you can look for if you wanted to say what the bogey is. One, today, our market share of A shares on our exchange versus onshore China is about 5%. Secondly, the inclusion rate of China in MSCI equity is about 2.5%, meaning there is no asymptote here. It's all about increased activity in Asian markets, higher volatility, very idiosyncratic moves between markets. There is no Asian lump, China is China, India is India, Taiwan is Taiwan. How quickly can this grow? When I look back at Taiwan, 5 years ago when we did the migration, the notional contract of our Taiwan contract was 40,000. Today, this month, it's 100,000. That's just AI and TSMC. So it's not a static portfolio. And in fact, in this current world order in capital markets, I think we are so well placed because we have currency, we have equity, we have commodities, and we're making a start on a new -- entirely new derivatives category, which is the perpetual payout. It's not about crypto. It's about that payout.
Boon Chye Loh: I will reinforce Mike's view. Given the unpredictable and very uncertain environment, this is really an environment where I think investors are more actively managing macro risk, which then translate into asset class risk management. If you look at the IMF 2026 outlook, 4 of the top 10 countries that will contribute to global growth in 2026 comes from Asia. Obviously, the top 2 being China and India, and there's collectively, the 4 countries is going to contribute about 50% of GDP growth. The second question is any pricing levers for securities market without reflecting competitiveness? Our focus is really to broaden market participation, increase the number of stocks number -- increase the liquidity or number of stocks beyond the STI, more products, better post trade with the broker custody arrangement for the investors who choose to do so. And if that continues to create the flywheel, I think that's better for the overall market in terms of our activity. Any questions here in the audience? If not, we take 1. Yes, Harsh, and then we have 1 from online.
Harsh Modi: A couple of follow-ups. You touched on, Mike, on the [indiscernible] futures as a contract, and it's more a proof of concept. Where are we in that journey? And how -- by when do you think you can get enough of data or comfort to then broaden out into, let's say, gold or some other contracts?
Hsien-Min Syn: The design choice of what we delivered was to go through existing rails because that's how you address your current customer network. But there are 2 specific things that need further adoption. One is clearly setting up the fact that it's not -- it's an indefinite future. It keeps rolling. And it has a daily funding, right? So these are the 2 important things. And we needed to wait for the right asset class to come along where there was an ecosystem that said, I can do this. So the evidence that we have since launch for Bitcoin and [ Ethe ] has been very promising. It's mostly luck because of the environment. So what we've seen is that the most important thing to track is the micro structure. How liquid is it? And actually, the results are very encouraging. Most of the volume is in Asian hours, hypothesis, number one. 70% of the stuff trades in Asia, the trading happens out of Asia, that's what we've seen. Number two, the funding rate is actually tracking the nontraditional crypto exchanges. It is not tracking the U.S. ETFs. It is not tracking the U.S. Bitcoin futures, meaning it is the regulated mirror of what you're seeing on the unregulated exchanges. So that is very promising. Thirdly, this funding rate is very responsive. It went up a lot when Bitcoin went to 85,000, 87,000, and guess what, in the past week or so, it is now negative. So it works. It does what it says on the tin. Our task here going forward is to get more institutions, clearing members and primes to onboard this onto their shelf, right? We already have a number of pioneer technology vendors and clearing members, and they are very crypto-native in nature, but we need to hit the mass customer network where our strength lies.
Boon Chye Loh: We'll take 2 more questions. One here and then 1 online.
Unknown Attendee: I am [indiscernible] The Business Times. I wanted to circle back on the IPO pipeline that you mentioned. So would you say it's better than the first half of your financial year?
Pol de Win: I would say the pipeline has improved, yes. That's what we said. Notwithstanding the good momentum that we are carrying across from the first half of the financial year. But you need to understand, right, these things never happen in a straight line. There's a bit of seasonality in IPO activity as well. So it's normal for the first quarter to be a little bit more quiet as companies prepare our full year financials. But overall, as we look -- continue to look at that sort of medium-term window, we're very, very confident.
Unknown Attendee: All right. I also wanted to clarify whether do you see like more mean bought applicants or more catalyst applicants?
Pol de Win: Quite equally split.
Unknown Attendee: And actually, last year, you said that 2025 was a transitional year for the [ board ], right? So do you think -- how do you describe 2026 then?
Boon Chye Loh: Transitional year?
Unknown Attendee: It's transitional year. That's what Pol said last year.
Pol de Win: Yes. So I mean it was very clear. If you look at the calendar year 2025, the first half and the second half were 2 different worlds. We're now in the new world, and we'll keep building up on that momentum. I think if you just generally look at market conditions that are out there, pretty favorable and not just for us, that is globally, but I think there are certainly elements that play to the strength of us here in Singapore and of Asia as a region. We see the supply coming through, right? There is many, many companies out there in this region that fit right in our sweet spot that need to create liquidity for their shareholders that need capital for growth. So -- from a supply perspective. And then we've, of course, worked tremendously hard with many people here in the ecosystem in identifying some of the pain points and coming up with these initiatives that have been rolled out following the review group that I think are going to be very meaningful in creating an even better environment for us. And I think the deployment of EQDP funds is a very good example of that. The regulatory changes that we've started to make and indeed also the global listing board, for example.
Unknown Attendee: I have another question for Boon Chye. It would be very quick. For the Equity Market Implementation Committee, do you have any more details you can disclose at this point?
Boon Chye Loh: Not at this point, we hope in the weeks ahead to announce the formation of the -- to announce the committee members and then lay out our plans forward.
Liana Chue: One last quick question, I think, maybe for Boon Gin. Could you kindly elaborate on the reduction of port lot size from 100 shares to 10 shares? Will it extend beyond the initial companies that have been identified so far? And that's from a private banking sector.
Yao Loong Ng: Yes. So I think we have put out that console and taking into balance the various factors, we think that we start off with $10. And I think that is going to be a good start because it represents companies or blue chip companies that can be more accessible to a wider population. I would say that the unitization way of breaking down the ballot size, it's not new to us. We did that in the ETF market in 2022. And we have seen quite good activities in ETF market clearly, and we have seen how investors are able to access the higher-priced ETFs and being able to do that. I mean, GOL is an example. It is trading about SGD 600. So we have seen activities in that. And I think that has helped. Of course, I won't be able to definitely extrapolate, but I think making our stock market accessible with -- for higher price shares to a much broader population is part of our goal for higher retail participation in this market.
Boon Chye Loh: Okay. With that thank you very much, everyone, for your presence and participation. Thank you.